Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 JDSU Earnings Conference Call. My name is Keisha, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I will now like to hand the call over to Ms. Michelle Schwartz, Senior Director of Investor Relations. Please proceed.
Michelle Levine Schwartz: Thank you, operator, and welcome to JDSU's Fiscal 2011 Third Quarter Financial Results Conference Call. Joining me on the call today are Tom Waechter, Chief Executive Officer; and Dave Vellequette, Chief Financial Officer. I'd like to remind you that this call will include forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to look at the company's most recent filings with the SEC, particularly the Risk Factors section of our annual report on Form 10-K filed on August 31, 2010. The forward-looking statements, including guidance provided during this call, are valid only as of today's date, and JDSU undertakes no obligation to update these statements as we move through the quarter. Please note that all numbers are non-GAAP, unless otherwise stated. A detailed reconciliation of these non-GAAP results to our GAAP results, as well as a discussion of their usefulness and limitations is included in today's news release announcing our results, which is available on our website at www.jdsu.com. As a reminder, the quarterly earnings press release, slides and historical financial tables are posted at www.jdsu.com/investors under the Financial Information section. Finally, and as a reminder, this call is being recorded and will be available for replay from the Investors section of our website. I would now like to turn the call over to Tom.
Thomas Waechter: Thank you, Michelle, and good afternoon, everyone. JDSU delivered strong third quarter results with solid financial performance and market share gains. Overall, the end markets for our products remained strong and our collaborative innovation continued to gain momentum with new product introductions. In fiscal Q3, we reported revenues of $455.4 million, gross margins of 47.6% and a [indiscernible] margin of 12.1%. If we compare the same period a year ago, revenues grew nearly 37%, gross margins grew by 350 basis points and operating income grew by nearly 150%. This is tremendous progress as we continue to execute against our strategy and advance our overall financial model. Our success lies in part with our strategy to operate as a diversified technology company, which allows JDSU, as a whole, the ability to navigate fluctuations that may occur in any one business segment. I will now address 3 recent events in the market. First, the events in Japan are tragic and have affected the lives of many people. We are thankful that all of our employees in Japan are safe. JDSU and its employees have contributed to the relief effort and we are committed to helping the people of Japan recover from this unfortunate event. While our business saw a very limited impact from the events in Japan during the March quarter, we will continue to monitor the situation closely and we'll work with our suppliers in order to fulfill our customer requirements. Second, with respect to the consolidations we are seeing in our service provider customers, we do not believe we will see any impact in near-term demand as a result of recent announcements in the sector. We will continue to work closely with our customers as they continue to build out 2G and 3G networks and with the rollouts of 4G and LTE. And finally, recent announcements have caused some uncertainty in the Optical Communications market. We do agree that there's a current slowdown in sequential quarterly demand and at some customers, there's an effort to reduce inventory levels. At the same time, we believe market drivers remain strong. Our Optical Communications business grew nearly 10% quarter-over-quarter and over 68% year-over-year. Our strategic focus on integrated, differentiated products is working. We are both increasing our customer penetration and taking market share. For example, our ROADM and Tunable XFP revenue each grew over 20% sequentially and now represent over 45% of total optical communication revenue. We are not immune to volatility in this market, but our portfolio of broadly accepted innovative products is separating us from our competition. Now let me hand the call over to Dave, who will take you through the details of our financial performance in Q3 and will discuss our outlook for Q4. Following Dave's remarks, I will provide more detail on our results, the trends we are seeing and our strategy moving forward.
David Vellequette: Thank you, Tom. Before I start, please note that all numbers are non-GAAP, unless I state otherwise. Third quarter revenue of $455.4 million was down 4.6% from the prior quarter and up 36.8% when compared to the third quarter of fiscal 2010. Revenues increased sequentially in our CCOP and AOT segments and declined, as expected, in our Comm Test segment due to March quarter seasonality. Book-to-bill for Comm Test, Lasers and AOT were each above 1, while Optical Communication's book-to-bill was below 1. Book-to-bill for the total company was also below 1. Third quarter gross margin was 47.6% of revenue, down from the previous quarter's gross margin of 48.8% and up from third quarter fiscal 2010's gross margin of 44.1%. The third quarter sequential decline in gross margin was primarily due to segment mix. The year-over-year improvement in gross margin was due to improved margins in CCOP and in Comm Test. Operating expenses for the third fiscal quarter of $161.9 million were 35.6% of revenue, up slightly from the prior quarter's $159.8 million. The increase in expenses from last quarter was within our stated range and primarily for higher employer payroll taxes and the impact of the weaker dollar on operating expenses. The fiscal third quarter operating margin for the company was 12.1%, up from 6.6% for the year ago period, primarily due to higher revenues and gross margins. Net income was $51 million or $0.22 per share, which compares to $67 million or $0.29 per share for the second fiscal quarter and $23.2 million or $0.10 per share for the year ago period. A detailed reconciliation of our non-GAAP results to our GAAP results is available in today's press release. Our third quarter non-GAAP results exclude, among other items, amortization of acquired technology and other intangibles of $22.3 million; a $10.9 million charge for stock-based compensation; an acquisition accounting adjustment to revenue of $1.4 million; restructuring and nonrecurring charges totaling $7.6 million; and a $34.9 million tax benefit from the release of a deferred tax valuation allowance for a foreign jurisdiction. Including the noted items, the third quarter fiscal 2011 GAAP net income was $38.6 million or $0.16 per share, which compares to a prior year third quarter GAAP net loss of $11.9 million or a loss of $0.05 per share. Now looking at quarterly revenue by region. Americas revenue of $208.8 million or 46% of total revenue was down $35.1 million from the prior quarter. The decrease was in Test and Measurement and was due primarily to approximately $20 million of service provider budget flush that was realized in the December quarter and seasonally lower service provider demand. EMEA revenue of $127.2 million or 28% of total revenue was up $5.7 million compared to the prior quarter due primarily to strength in our Optical Communications business and in our AOT segment. Asia-Pacific revenue was $119.4 million or 26% of total revenue, up $7.6 million from the prior quarter, primarily due to higher demand for Optical Communications products. Moving to the segments. In the CCOP segment, the breakout of key metrics for Optical Communications and Lasers is as follows: Optical Communications revenue in fiscal Q3 was $184.7 million, up 9.7% when compared to the prior quarter's revenue and up 68.1% when compared to the prior year. We saw particular strength in ROADMs, circuit packs and tunable XFPs. All of the geographic regions grew sequentially. Quarterly ASP decline was 3.9%, which was below our expectations. Gross margin for the quarter was 32.9%, flat with the prior quarter and within our target range of 30% to 35%. During the quarter, we continued to increase our test capacity for a number of our products which allowed us to expand our VMI portfolio for 2 major customers and reduce our product lead times. In our Lasers business, third quarter revenue of $24.7 million was up 8.8% when compared to the prior quarter and up 31.9% compared to the prior year due to the demand for our solid-state lasers used in semiconductor, LED and micromachining applications. Gross margins were 46.8%, up from the prior quarter. Total CCOP revenue was $209.4 million, up 9.6% from the prior quarter. Gross margin was 34.6% and operating income was $39.6 million or 18.9% of revenue. The increase in operating profit was primarily due to higher revenue. Our sustainable targeted CCOP operating model has operating margins of 16% to 20% when revenues are above $190 million on a quarterly basis. Now moving on to our Comm Test segment. As a reminder, the March quarter revenue is typically seasonally lower than the December quarter. As expected, the March quarter revenue of $189.2 million was down 10.5% from December quarter's revenue, after adjusting the December quarter revenue for $20 million of calendar year end customer budget flush. On a year-over-year basis, third quarter revenue was up 29.9% from the prior fiscal year. Q3 organic revenue growth, which excludes revenue from the NSD product and from third party complementary product, was up 15% year-over-year. On a sequential basis, Asia-Pacific revenues grew modestly while EMEA and the Americas revenues declined primarily due to seasonality. Fiscal Q3 gross margin for Comm Test of 61.9% exceeded our targeted range of 57% to 61% and increased by 700 basis points from the prior year's Q3 gross margin of 54.9%. The gross margin improvement was driven by revenue from the NSD acquisition, which was completed after fiscal Q3 last year and from favorable product mix as 45% of Comm Test revenue came from products introduced in the last 2 years. As a result of the higher gross margin, Comm Test operating profit was $22.6 million or 11.9% of revenue, which compares to $11.5 million or 7.9% of revenue in the prior year. The operating profit is below our targeted range due to seasonal revenue levels and our current investment levels in R&D and selling costs. Comm Test revenues tend to be seasonal, with the June and December quarter-ends typically the strongest and the March and September quarter-ends being lower. As previously noted, our targeted Comm Test operating model is for operating margins of 20% to 23% when quarterly revenues are greater than $215 million. Our operating expenses for the Comm Test segment are currently above the targeted range, as a percentage of revenue, as we continue to invest in products for mobile, video and ethernet backhaul. We are expanding our sales presence in high-growth markets also, such as Eastern Europe, Africa and Asia. As part of this investment focus, we have started transitioning investment away from certain products that are not hitting our profitability targets. This transition will be completed over the next several quarters and resulted in a restructuring charge of $6.8 million in the fiscal third quarter. For the Advanced Optical Technologies or AOT segment, fiscal Q3 revenue was $56.8 million, up 3.8% when compared to the prior quarter. We saw revenue increases in our currency, transaction card and thin film businesses. As previously noted, currency products will see demand fluctuate according to the level of bank note printing needs. Fiscal Q3 gross margin for our AOT business was 48.3%, up slightly from 48% in the prior quarter due to product mix. AOT operating profit for the quarter was $17.9 million or 31.5% of revenue, slightly below our operating profit target range of 32% to 35%. As a reminder, JDSU's total company targeted operating margin range is 14% to 17% when quarterly revenues are $460 million or greater, and gross margins are 49% or higher. Also, JDSU's revenues are impacted by seasonal buying patterns of our customers. The March and September quarter revenues tend to be lower than the December and June quarter revenues. Carrier buying patterns impact the December and March quarters, while EMEA customer buying patterns impact the September quarter. Moving to the balance sheet. For fiscal Q3 2011, the company generated $52.9 million of cash from operations. Capital expenditures totaled approximately $34.2 million. At the end of fiscal Q3, the company held over $700 million in total cash and short-term investments. Headcount as of April 2, 2011, was 5,028. Now to our Q4 guidance. First, some points to consider as you think about our financial performance over the coming quarter. Based on our current visibility, we expect Comm Test revenues to grow sequentially between 6% and 13%, AOT revenues to be down sequentially 2% to 4% and CCOP revenues to be down 2% to 4% sequentially. Operating expenses are expected to increase up to $4 million to $5 million sequentially, primarily for increased investment in R&D and selling costs. Comm Test operating margins are estimated to be between 14% and 17% due to higher revenue. AOT operating margins are expected to be between 28% and 30% due to lower revenue and CCOP operating margins are expected to decline by approximately 1 percentage point due to increased R&D investment. Taxes, interests and other income are expected to result in a net expense of $6 million to $7 million. Share count for calculating earnings per share is expected to be approximately 237 million shares. Capital equipment purchases will be between 4% and 5% of revenue, as we continue to invest in expanding our manufacturing and test capacity for AOT and Optical Communications products. Taking into consideration the factors above and based on our current visibility, we expect fourth quarter revenue to be between $455 million and $475 million and our non-GAAP operating margin to be between 11.5% and 13.5%. I will now turn the call back to Tom.
Thomas Waechter: Thanks, Dave. Now I will provide Q3 highlights from each of our business segments. I will start with the CCOP segment. First, Optical Communications. The strength in revenue was driven primarily by growth in ROADMs, tunables, circuit packs, which includes our Super Transport Blade, pluggables, as well as gesture recognition products. Our customers are clearly recognizing our technology leadership, and we believe we are gaining market share across the majority of our customer base. Revenue from products introduced within the last 2 years accounted for 65% of total revenue in fiscal Q3. We expect our new product revenue to continue to grow in the near term. Tunable XFPs grew by over 35% sequentially and accounted for over 13% of total Optical Communications revenue. Our penetration across the customer base is strong, having shipped to 37 customers, many with multiple applications. We believe demand will remain strong as customers continue to design the Tunable XFP into more applications within their optical network. We continue to ship our second generation Tunable XFP, replacing 300 pin transponders in the regional and long-haul markets. This quarter, we began revenue shipments into the new applications at 4 major customers. Our Tunable XFP portfolio is the broadest in the market and we expect to continue to expand on it. ROADM revenue grew over 20% sequentially and represents 35% of total Optical revenue. Our Super Transport Blade revenue grew over 37% sequentially. Given the strength across our ROADM portfolio, we believe we continue to gain market share. We expect that the demand for ROADM products will continue to grow over the long term. We may see some ebb and flow on a quarterly basis depending on specific network build-outs over the next few quarters. This longer-term growth is expected in the core of the network as dynamic bandwidth requirements drive the need for flexibility and in low-port-count ROADMs to address the steady demand for applications in the metro wbere fewer ports are required. We also expect to see growth in ROADMs moving out to the edge of the network, although full-scale adoption is likely to be 1 to 2 years out. Through close collaboration with our customers, we are seeing strong demand for our 40- and 100-gigabit products. This quarter we announced the release of new 40G and 100G optical components. Our ability to leverage in-house fabrication capability in indium phosphide, gallium arsenide TLCs and lithium niobate materials enables high performance and cost comparative component solutions across these various data formats and data rates. This, in turn, allows the service providers to deploy 40G and 100G optical links in a cost-effective manner wherever increased bandwidth is required in the network. We continue to gain traction in gesture recognition. The total revenue for the company continues to be less than 4% of JDSU revenue. We are currently working with over 5 customers to expand the application of gesture recognition technology. The market is still in its infancy, but the potential new markets include further gaming applications, multimedia living room applications and portable applications such as gesture recognition on notebooks. We have confidence in the optical market as drivers remain strong, but as noted by our guidance, current demand from our customers is choppy in the short term as lead times decline and network equipment manufacturing inventories are being renewed to align with the end-customer demand. We still see strong growth in the optical market, but in the near term, we expect some slowdown in growth. Now turning to our Lasers business within the CCOP segment. We saw an 8.8% increase in Lasers revenue due to strength in our Q series, solid-state laser for LED, semiconductor and micromachining applications. Traction with our partner, Amada, remains very strong. The recently launched 4-kilowatt fiber laser incorporated into the Amada laser cutting system for material processing applications enables up the 3x faster processing speed on thick materials as compared to traditional CO2 laser technologies. We are shipping in low volumes and are on track to be in full production by September quarter, if not sooner. In March, we announced our plans to develop a second generation suite of kilowatt fiber lasers with Amada. We are also developing a new fiber-based class of pulse lasers that enable faster and more accurate micromachining materials in cutting and marking applications. We expect first revenue for these new lasers to start during the second half of fiscal 2012. Now moving on to the Comm Test segment. The overall solid performance in Comm Test demonstrates our global market leadership and reflects our alignment with our customers as they look to improve the quality of service and reduce operating expenses in their increasingly complex and higher speed networks, especially in the fast-growing areas of video and mobility. I will discuss these 2 areas in more detail. Mobile traffic continues to grow on 2G and 3G networks and we see growth in LTE, although we believe that we are still in the early stages for this market. According to the Global Mobile Suppliers Association, there are 140 LTE commitments across 56 countries with 17 LTE networks currently deployed. Our products for drive test, protocol test and realtime session trays are being utilized for early deployment in the lab and in the field. This calendar year, we expect to see more operators moving from predeployment testing to launching networks followed by service assurance. Our unique end-to-end LTE solution puts us in a position of strength with our customers to capitalize on all 3 of these stages. During Q3, we reported revenue for LTE test in new and existing customers across all geographies. For LTE projects, we currently are working with approximately 42 customers on protocol test, 25 customers on drive test and 12 customers for service assurance. In Q3, we also announced that CSL, Hong Kong's largest mobile communications operator, selected JDSU's accessLTE service assurance solution to support their LTE network deployment. JDSU is being recognized in the industry for our LTE products. We earned the INTERNET TELEPHONY Product of the Year for our Signaling Analyzer Real Time, or SART, LTE test solution. SART improves performance monitoring and helps ensure network quality. Video continues to dominate network traffic and, according to third parties, is expected to be 90% of consumer traffic by 2014. Our revenue is driven by this dramatic increase in video traffic both wireline and wireless, as our customers need to manage quality of service and reduce costs. As a result, T1 carriers worldwide are taking advantage of our end-to-end video product portfolio. For example, our PathTrack product, which detects trouble to the street address level grew revenue 33% year-on-year. Our Home Performance Management product, which extends quality of services visibility into the home, has helped the European carrier gain a 2.5x better-than-expected improvement in operating costs. Our HST, or Handheld Services Testers, saw significant revenue growth as we experienced strong demand for copper test, as carriers seek higher speed from copper. And our Q [ph] test growth was up 24% year-on-year. And finally, as previously announced, we were recognized by Frost & Sullivan as the Global Fiber Optic Test Market Leader. The proliferation of tablets, smartphones and other devices, along with rapidly growing video demand is requiring higher speeds in the network. 100G is showing increasing deployment with service providers globally. Our Q3 revenue from 100G saw 114% growth year-on-year. As 40G and 100G migrate to the field, our presence in the labs positions us with a competitive advantage to earn revenue as these higher speed networks are deployed. These strong drivers are compelling carriers to spend in order to meet customer demand and manage network growth and complexity. As I mentioned earlier, we don't expect global carrier consolidation to have any short term impact on our outlook. This quarter we booked 18 deals greater than $1 million each across the globe, including a double-digit multi-million dollar North American deal for NSD services that spans a 3-year period. In addition, we are penetrating new accounts, especially in Asia, which include sales of SART LTE testing, 100G and drive tests sales for 3G networks. We continue to see a pull from our customers for more intelligent software support system to collect, analyze, predict and recommend actions to address the unprecedented mix of complicated traffic on the network. For example in Q3, we booked 8 optical network management system deals, illustrating our strength in creating software solutions to provide centralized visibility into fiber networks. JDSU's continued focus on collaborative innovation with our customers resulted in products and features introduced within the last 2 years accounting for over 45% of Comm Test's revenue in fiscal Q3. Through collaborative innovation, we released a number of new products as well as product and software upgrade including the following: JDSU's fiber complete test solution for the T-BERD MTS 4000, which combines the capabilities of 10 instruments into one, lowering CapEx and minimizing testing time by 40%; the ONT-600 Multi-Port Test Module for the development of next-generation high-capacity optical network elements. It's a low-cost solution delivering carrier ethernet, optical transport networks and 100G services ensuring the rapid design and verification of network elements. We announced advanced features for our ethernet assurance test solutions that will reduce the turn-up time for ethernet and mobile backhaul networks by greater than 50%. And the new JDSU FI-60 Live Fiber Identifier, which easily detects the users' optical signal without disconnecting fiber or disrupting network traffic. Our innovation engine is gaining momentum, and we will continue to invest in R&D in order to ensure we continue our leadership position in key market segments. Our remaining segment is Advanced Optical Technologies or AOT. Revenues for the quarter included growth in currencies, thin films and continued recovery in the transaction card market due to an expanding economic recovery. Our new Suzhou facility, which provides a strategic platform for JDSU to grow our Optical Coatings business is now operational, staffed and meeting expected financial targets. Operator, we'll now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Kevin Dennean with Citi.
Kevin Dennean - Citigroup Inc: Congratulations on what I think is a very solid quarter in clearly, a turbulent environment. Just wondering if you could talk a little bit about what you think customer inventories for CCOP looks like and then if you can give us a sense of some of the moving parts embedded in your down 2% to down 4% sequential guidance. In other words, within that guidance range, what are the thoughts around lasers, ROADMS and Tunable XFPs for June?
Thomas Waechter: Okay, so I think on the inventory side, it is spotty with customers. It's not across our entire customer base and I think it does depend, as we mentioned in the earnings script portion of this, I think it does depend on the rollout, specific timing of rollout of systems. We also saw our VMI go up to approximately 25% of our total revenue in the quarter, up from about 20%, so we are seeing more VMI activity, which gives us better visibility into the market. I think on the guidance with the down 2% to 4%, probably the softest part there would be the ROADMS area, as that's probably the area that has the most inventory potential buildup, less so in Tunable XFP and Super Transport Blade as we have a unique position there. I'd say that also China, which has been a strong area for us and we actually did see growth quarter-on-quarter. In China, they're probably having more specificity around their deployments and viewing them a lot closer than they did maybe in the previous quarters.
Operator: Your next question comes from the line of Ajit Pai with Stifel, Nicolaus.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: A couple of quick questions. I think the first is the numbers that you gave us for the ROADM and then you also mentioned the growth in the Super Transport Blade. Can we assume that those ROADM numbers are independent of any that go into the Super Transport Blade or are they included in what's included over there?
Thomas Waechter: What the Super Transport Blade contains as far as ROADM, that's rolled up into the total number.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: It is in the ROADM number?
Thomas Waechter: It's in that ROADM number, yes.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: Got it. And then you also talked about trimming, restructuring on the Test and Measurement side certain products that are not profitable enough. Could you give us some color as to what kind of products these are and whether if you get out of those market and you have new players enter that market, whether the threat of long-term competition from those new players?
Thomas Waechter: I think first of all, it's a similar path that we took on the Optical Components side where we looked at our total portfolio, our customers' dependents. So we're not going to cut out any products that our customer would depend solely on us for, so I think we're clean from the customer side. They're primarily products on the very low end that have lower gross margins, more of our competitors are able to build and ship those products in volume. So that would primarily low end and not products that our customers depend on us solely for. And it's, again, very similar to what we've done on the Optical Components side, continue to move into products that have more firmware, more software content, more solutions related to them.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: Got it. But then if you look at the gross margins of that business at 61.4%, they're above your target and you're planning to restructure it to get out of less profitable businesses. So does that mean that your gross margin for Test and Measurement are likely -- your targets are likely to be increased?
Thomas Waechter: We won't -- we're not going to announce any target increases, but our goal is always to continue to drive those gross margins up. So I think we've had good success on the gross margin side, and we continue to work on the operating expenses to get more efficient there. And I think we've got many lean-type of projects going on that will help us and that's part of the restructuring to just get more efficient in that area.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: All right. And the NSD acquisition, you've excluded it from the revenue and the growth numbers, but could you give us some indication as to progress that you have made in that area, what the rough growth is and the momentum over the next 2 years that you expect out of that business?
Thomas Waechter: I think we're not breaking out the numbers specifically any longer because we have the business fully integrated, and it's actually an integrated part of our business now. But I would say we continue to look at that as a area of growth for us. Those products and services are in strong demand by our customer base, the wireless, the LTE growth you see is very strong going forward, and the integration process has gone well. So we won't continue to break those numbers out. I think Dave did mention though that a part of the gross margin improvement for Comm Test was based on a better mix of the NSD products in there this past quarter.
Ajit Pai - Stifel, Nicolaus & Co., Inc.: Got it. And then last question would be, just given your cash has been growing again nicely and in the last major acquisition you did, what's the acquisition pipeline like right now and strategy over there?
Thomas Waechter: Yes. The acquisition pipeline continues to remain robust across all 3 of our businesses, and that will be a primary use of our cash going forward. We did mention though, because we're having I think very good success, new products where in Optical Comm it was 65% new products last quarter and Comm Test was 45%, we want to continue to look for the right investments in the R&D side, as well, to keep this innovation engine going.
Operator: Your next question comes from the line of Mark Sue with RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC: If we extrapolate the Optical Communications trends, does it feel as if the June quarter might be sort of the bottom for optical components? Are we starting to see the customers, which are digesting inventory, starting to come back in terms of orders, maybe if you could just give us a sense of what dynamics you're seeing out there.
Thomas Waechter: Yes. I'll talk in general about the dynamics, but we really do only give guidance one quarter at a time, so I won't go beyond what we said for the June quarter with specific guidance, but we do see the end drivers continue to be strong. We continue to come out with new products and variations of our present products that are in demand for more flexibility and agility in the network. So we believe that, that will continue to go in the right direction for us as far as the demand drivers. And also we believe we're growing market share as we've mentioned in the earnings call. So between having remaining strong drivers, having the right products, I think, lining up for the needs for agility in the network and then also taking market share. We see a very strong future for our total business.
Mark Sue - RBC Capital Markets, LLC: I see. Historically, when you do see an inventory correction and if you compare it with what you're seeing now, is the data pointing to a one quarter phenomenon from your comparison of what you've seen in the past?
Thomas Waechter: I think the corrections have been in varying degrees. When I think back over time, we've seen them sometimes be more abrupt and higher percent of change, but this one as you've seen in our guidance has a lower percentage change quarter sequentially than I can recall in the most recent periods. So I think it really is more about balancing inventory levels and also it helps that we're reducing our lead times and able to provide more VMI so that it gives our customers more confidence in being able to book and ship demand that they get on themselves.
Operator: Your next question comes from the line of Subu Subrahmanyan with Sanders Morris.
Natarajan Subu Subrahmanyan: On Comm Test, can you just talk a little about what's going on in terms of seasonal trends typically in September? You talked about general seasonality and June's obviously a stronger quarter. What is the typical seasonality for Comm Test into September and if we could go back to that Optical Comm point, what has been kind of average length of downtick during down cycles? I know we've talked about it in the past. The upside quarter has been 6% to 8%. What's been average for down ticks and in what way is this similar or different to the average down cycle we've seen for Optical?
David Vellequette: Let me start with the Test and Measurement, as I noted, the carriers tend to, the European and the U.S., but mostly U.S. tend to do their, what we call, budget flush at the December quarter and then they release budgets slowly in the March quarter so that tends to have a March being less than December. And then the September quarter tends to be lower for not only Test and Measurement but sometimes for Optical also just because of what I call the European vacation situation or EMEA their purchases in the September quarter tend to be lower than they did in the June quarter, mostly around the vacation situation there in Europe. So that's what we see in the Test and Measurement and we will probably see some of that in the Optical area for September just because EMEA customers buy less in September. I'll let Tom talk about the Optical.
Thomas Waechter: Yes. So, Subu,I think the question around Optical is what's the typical number of quarters of upcycle and then what's the downcycle that follows that. I think traditionally as we map this, it's been 5, 6 quarters up and 2 quarters down on an average, but usually those downcycles have been very hard downcycles and it's because the capacity has gotten ahead of the demand and I really don't see that happening this time. I believe the demand is still ahead of the capacity out there in the networks and we all experience that almost day-to-day in our own activities and interfacing on the network. I think this is more of a short-term timing of network build-outs and some inventory build-ins, some specific customers. So I wouldn't expect this to be a lengthy downturn and I don't expect it to a real hard down with the visibility that we have today and the end drivers and what's happening in our customer base.
Operator: Your next question comes from the line of William Stein with Crédit Suisse.
William Stein - Crédit Suisse AG: Just following up on the last one. I think the difference, a difference today is that you're now doing VMI with more customers and we saw inventory days tick up. So should we expect that to mute the cycle and also perhaps push the downturn out relative to, lets say, prior cycles or competitors that aren't doing as much VMI with their customers?
Thomas Waechter: I think the VMI, as I mentioned, went from approximately 20% of revenue to 25%. It does give us better visibility and it has less likelihood to build up large amounts of inventory. I'd say that the days supply went up more on the Comm Test side of the business than Optical Comm and that was primarily around improving some customer service issues and getting a better handle around our forecasting on some specific configurations. I don't, again, see that lasting for a lengthy period of time either, but it did grow a little bit larger than we had expected in specific quarter on the Comm Test side.
William Stein - Crédit Suisse AG: That's helpful, and one more if I can. Turning to the operating margin target in the Comms Test business, how much of the delta between where we are today and the goal do you expect to be driven by the restructuring that you announced today versus operating leverage from higher revenue? And do you see that target as achievable in the current year?
David Vellequette: Well the restructuring activity will help some. But as I noted on the call, right now, we're seeing, as you're seen from our gross margin, we're seeing opportunities to invest in products to address these emerging demands, but mostly the video, the mobile video and the LTE. So it's still our goal to get there. Revenues have to be $215 million for the quarter. At the same time, right now we think this is a good opportunity to continue to invest in R&D and also invest in our selling costs in some of these emerging markets where we're seeing some really terrific opportunities. So I don't think -- we're not forecasting that we'll get there in the current quarter. And I think what we'll do is we'll apprise you of where we believe we will end up with each quarter as we've done historically. But right now, we're in a [indiscernbile] in some of these R&D and selling costs area.
Alex Henderson - Miller Tabak + Co., LLC: Your next question comes from the line of Alex Henderson with Miller Tabak.
Alex Henderson - Miller Tabak + Co., LLC: I was hoping we could get a little bit of clarity on what you're hearing as you talk to the service provider systems companies. To what extent they're seeing a pickup in demand from their customers whether in China or outside of China. We've heard a number of comments that Huawei's seen a reacceleration, and I'm trying to get a handle on whether you're hearing that as well.
Thomas Waechter: You're talking about the end-users of the service provider?
Alex Henderson - Miller Tabak + Co., LLC: Yes, one step further out the chain to the actual guy that's putting the stuff on the ground. Have you heard any comments from your customers that would give you some indications of what is going on at the service provider level in China and outside of China?
Thomas Waechter: I think specifically within China we do see some tempering of the pace that was there before on the deployment of networks. And from everything I've seen and heard, I don't believe it's a lack of end-user demand. It's more that China really specifically tempering that at least in the short term. I think in North America we saw some pretty large CapEx numbers out of 2 of the major network operators this past quarter. I think each one went up $1 billion each in CapEx spend from previous run rates, so that was quite healthy and I think reasonably typical of what we're seeing in the rest of the parts of the world as well.
Alex Henderson - Miller Tabak + Co., LLC: And one other question in terms of where the demand is. Can you delineate between what you're seeing on 40G, 100G and long-haul type transport versus what you're seeing on the access edge in terms of where the inventory is and where the demand is?
Thomas Waechter: I think the demand continues to be strong through all parts of the network because I think the demands are getting back into the core part of the network, so we are seeing strength in all parts of networks. As we said, the ROADM getting out more to the access edge, that's happening, but really a large part of that growth will probably be more like a year to 2 out, 2 years out, but there is plenty of growth as you can see by our quarter-on-quarter and year-on-year numbers increasing for products like ROADM and Tunable XFP it's happening through the entire network.
Operator: Your next question comes from the line of Todd Koffman with Raymond James. [Technical Difficulty]
Todd Koffman - Raymond James & Associates, Inc.: Just one more question about this inventory correction. When you look at the level of your ROADMs at customer inventories relative to where they need to be worked down to, approximately based on their deployment schedules, is that a few quarters or shorter or longer based on your best guess?
Thomas Waechter: We estimate obviously internally, but we don't really have visibility beyond a quarter or 2, so it's hard to really have that longer-term visibility. But our comments on what we said as we think it's more short-term than longer-term type of issue.
Todd Koffman - Raymond James & Associates, Inc.: And just one little quick follow-up. You called out this kind of softness in ROADMs, and then I think you called out subsequent to that in China. Is that to say that your ROADM inventory adjustment is largely in the geography of China and the other markets around the world, you're not seeing that inventory correction or pretty broad-based geographically?
Thomas Waechter: No. What I meant to say is that we're seeing that pretty much across the face of the customers, is more concentrated in several customers, but our business revenue actually grew in China quarter-on-quarter, so we're having -- seeing nice growth there even though I think the deployment of networks in China has been somewhat tempered. So it would say that we're growing market share there and we have the right products that are needed to offer that specific customer base.
Operator: Your next question comes from the line of Nathan Johnsen with Pacific Crest Securities.
Nathan Johnsen - Pacific Crest Securities, Inc.: First, just on the competitive front, you guys have clearly seen a lot of gains in Tunable XFP, but you have a couple of competitors that are ramping those products or at least expecting to ramp those products shortly. I'm just curious how JDSU plans to continue to differentiate with that product. And then secondly you'd mentioned that during the March quarter that ASP reductions had been slightly lower than expected. I was wondering with the inventory digestion phase if there was a risk of that ASP pressure ramping up?
Thomas Waechter: As far as the Tunable XFP, we continue to come out with new versions and new models of the Tunable XFP. We do have competitors that are talking about bringing the Tunable XFP to market. We have not seen that in volume to this point, so we are the only one out there shipping these products in volume and we continue to come out with new models, improved technology on the Tunable XFP. So our goal is to continue to stay ahead of our competitors and we think we're doing a good job with that at this point. I'll turn the ASP question over to Dave.
David Vellequette: The question on ASP is the level of ASP decline?
Nathan Johnsen - Pacific Crest Securities, Inc.: Yes. I'm just wondering if given that you saw relatively benign ASP environment in the March quarter if there's a risk of that increasing as we go through the inventory digestion phase.
David Vellequette: Usually, the March quarter is our highest ASP decline. Historically, we go on a 2% to 4% range on a quarterly basis sequentially. And the March quarter's usually higher because we've just finished a large number of negotiations for products, but what happens then is what the mix of products are that we ship can effect how much of a decline we see. So with our strong growth and our leading products such as the Super Blades and the Tunable XFPs, we actually had an ASP decline that was lower than we had guide to on our last call because of that strength. So there's no reason to believe we shouldn't be in the, what I'd call, the typical range of 2% to 4% quarterly. That's what we -- the 7 years I've been here, that's what we typically do.
Thomas Waechter: I think your one question on the potential build-up of inventory whether that could have more pressure on ASP, but I think that's always a possibility but we haven't seen any real indications of that at this time.
David Vellequette: And our annual contracts have been completed as of December, so pricing is basically set for a good number of our products for a period of time.
Operator: Your next question comes from the line of Troy Jensen with Piper Jaffray.
Troy Jensen - Piper Jaffray Companies: Quick question on the ROADM here. So I'd be curious to know if you'd say whether or not you've be able to penetrate Huawei for ROADM wins.
Thomas Waechter: We don't talk about specific customers but we have penetrated China with the ROADM product.
Troy Jensen - Piper Jaffray Companies: So do you feel, how about just more generically, do you feel you've penetrated Chinese OEMs effectively with your ROADM business?
Thomas Waechter: Yes, primarily our ROADM sales would be into MIMS.
Troy Jensen - Piper Jaffray Companies: Okay, perfect. And then just maybe an update on the 50-gigaHertz ROADM?
Thomas Waechter: Are you asking the volume or ...
Troy Jensen - Piper Jaffray Companies: Any color you can give on the traction if you're willing to give kind of growth rates or just get any color on how that's been growing for you.
Thomas Waechter: We did see growth quarter-on-quarter.
David Vellequette: We saw growth in both our 50 and our 100 and the demand for those are based on what solutions were being designed into it and how the rollouts are, but we did see growth in both our 50-gig and 100-gig line spacing products there.
Troy Jensen - Piper Jaffray Companies: And last question. Any update on the $100 bill program?
Thomas Waechter: Yes. There's nothing official that has been released by the government yet, but we still continue to believe we we're well positioned when they get back into the printing of the new $100 bill and obviously, we'll announce that as soon as we get the word on that.
Operator: Your next question comes from the line of Cobb Sadler with Catamount Advisers.
Cobb Sadler - Catamount Strategic Advisors LLC: I had a question on the AOT business. I think you guided for it to be down 2% to 4%, and then the operating margins are in the 28% to 30% range, if I have that right. So that's, what, down about 250 basis points quarter-on-quarter and just kind of looking back over the last several quarters, those margins have come -- they're really high, but they've come down just a little bit and was wondering whether it's you're investing more or whether it's pricing?
Thomas Waechter: We did start about 3 or 4 quarters ago investing more to get higher growth because it is very profitable business so those investments do continue. And then part of it is the mix. And we just got asked about the $100 bill and that Flex business does have some ebbs and flows based on currencies being printed around the world so that usually brings the -- and we do see an uptick in that area that usually brings additional gross margin and profitability to it.
Cobb Sadler - Catamount Strategic Advisors LLC: Okay, thanks a lot. And then a quick follow up on the VMI, I believe you said 25% of revenues is through hubs or VMI situations. Where do you think that could go? I'm assuming like your Super Transport Blades and Tunable XFPs won't be through VMI, if I have that correct. And what do you think that number could go though?
David Vellequette: As you saw in the -- Tom talked about 25%. Historically, we've talked about it being 20%. We have more of our major customers interested in having VMI for certain products and so there's no reason to think that it couldn't get over 30%.
Thomas Waechter: We do see VMI for things like Super Transport Blades as well. It's not restricted to individual components. It is available for integrated products as well.
Operator: Your next question comes from the line of Joel Achramowicz with Blaylock Robert and Van(sic)[Blaylock Robert Van].
Joel Achramowicz - MDB Capital Group: Tom, I've asked this question, maybe some additional color on AOT. Looks like we'll probably have a year-over-year of somewhat flat performance in that sector, but it's still very high-margin business, which is exciting, but can you project out or maybe give us some color on the potential for year-over-year into 2011 and 2012 with regard to that sector?
Thomas Waechter: We're not giving guidance out that far, but it is an area where we're investing and also looking at potential acquisitions to grow the business faster. It's traditionally grown, let's say 5% to 6%. And so it's not that high-growth business, but our desire is to increase that percentage growth year-on-year. So we're investing both organically and some of the new developments we have going on inside as well as looking at what might be available on the outside.
Joel Achramowicz - MDB Capital Group: So some of this, you're definitely going to focus on?
Thomas Waechter: It's definitely a focus. It's a challenge for the management team of AOT to continue to look at how can we pick up the growth rate in that area.
Joel Achramowicz - MDB Capital Group: So we can watch that going forward. And one final follow-up with regard to components in the laser area. That's obviously a nice high margin business as well, but it's a small contribution. But it is growing this year. Can you see -- do you expect to hopefully see additional secular growth in that sector?
Thomas Waechter: Yes. I think for our commercial lasers, as we said, we're just starting into kind of small preshipments on the kilowatt laser, the fiber kilowatt laser, that will pick up in the second half of this calendar year. And we see a pretty strong demand there. We're into also developing the next generation of that and then we also mentioned the pulse laser, fiber lasers, which would be more for the micromachining. And I think if you look at that market and you see some of the announcements out there in the market, that part of the market is very strong. So that we originally given estimates, that we think we're getting into the Fiber Laser business, both the kilowatt and the pulse would increase our market, available market by 3x, where it was previously. We're just starting to get into that with the kilowatt shipments. So we believe that's still there and that could be a pretty nice growth area for us. We did have very nice gross margins there. We continue to improve the gross margins in that area. And I would believe with increased volumes, that would help us there as well.
Operator: And that's the time period today for the Q&A session. I would now like to hand the conference back over to Mr. Tom Waechter for any closing comments.
Thomas Waechter: Thank you, operator. As our call concludes, I have some final comments. JDSU delivered strong third quarter results with solid financial performance and market share gains. I am bullish on continued long-term growth opportunities for JDSU. While the Optical Communications business is seeing a slowdown in demand, we believe the end market drivers remain strong and the inventory adjustments will have a near-term impact only. We expect broadband infrastructure growth to continue based on demand from bandwidth intensive applications. We are well positioned with our portfolio of products. We will continue to invest in R&D to take advantage of the opportunities in front of us. I believe this investment will further the advancement of our operating performance. In closing, I would like to thank our employees for their hard work and dedication. None of this would be possible without their continued focus, commitment and their contributions. I would also like to thank our customers, partners, vendors and long-term shareholders for their continued support of JDSU.
Michelle Levine Schwartz: Thank you again for taking the time to join us on this earnings call. We appreciate your interest in JDSU. Have a good evening.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect your lines. Good day.